Operator: Greetings, and welcome to the Life Time Group Holdings, Inc. First Quarter 2024 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Dani Matzke, Vice President of Corporate Finance. Thank you, Dani. You may begin. 
Dani Matzke: Good morning, and thank you for joining us for the Q1 2024 Lifetime Group Holdings Earnings Conference Call. With me today are Bahram Akradi, Founder, Chairman and CEO; and Erik Weaver, Senior Vice President, Interim CFO and Controller. During this call, the company will make forward-looking statements, which involve a number of risks and uncertainties that may cause actual results to differ materially from those forward-looking statements made today. With a comprehensive discussion of risk factors in the company's SEC filings, which you are encouraged to review. The company will discuss certain non-GAAP financial measures, including adjusted net income, adjusted EBITDA, adjusted diluted EPS, net debt to adjusted EBITDA or what we refer to as net debt leverage ratio and free cash flow. This information, along with reconciliations to the most directly comparable GAAP measures are included when applicable, in the company's earnings release issued this morning, our 8-K filed with the SEC and on the Investor Relations section of our website. With that, I turn the call over to Erik Weaver. Erik? 
Erik Weaver: Thank you, Dani, and good morning, everyone. We appreciate you all joining the call this morning. I will provide an update regarding our first quarter results, the full details of which can be found in the earnings release we issued this morning. We are pleased with the strong financial results we achieved this quarter. Total revenue for the first quarter increased 16.8% to $596.7 million versus the prior year, driven by a 19% increase in membership dues and enrollment fees and a 10.5% increase in incentive revenue. Access memberships increased 5% to end the quarter at more than 802,000 memberships and total membership ended the quarter at approximately $853,000.
 Average monthly dues were $186, up 12.7% from the first quarter last year. Revenue per Access membership increased to $745 from $667 in the prior year period as we continue to benefit from higher dues, increased visits and increased incentive activity. Net income for the first quarter was $24.9 million, down 9.5% versus the first quarter of 2023. Q1 2023 net income was elevated as a result of onetime net benefits of $8.7 million related to the sale leaseback transactions and the sale of 2 Triathlon events. 
 Adjusted net income was $30.5 million, an increase of $7.3 million versus the first quarter 2023. Adjusted diluted earnings per share was $0.15 compared to $0.11 per share in the first quarter last year. Adjusted EBITDA increased 21.6% to $146 million, and our adjusted EBITDA margin of 24.5% increased 100 basis points as compared to the first quarter of 2023. Our strong financial performance continues to drive growth in cash flow and a reduction of our net debt leverage versus the prior year. Net cash provided by operating activities increased 21.7% to $90.4 million as compared to the first quarter 2023. We reduced our net debt to adjusted EBITDA leverage to 3.6x in the first quarter versus 5.2x in the prior year period. We are excited about the continued execution and success of our business. With momentum on our side, we are very optimistic about the opportunities in front of us in 2024. I will now turn the call over to Bahram. 
Bahram Akradi: Thank you, Erik. As you would expect from what you just heard, we're especially proud of our continued progress, and it is my pleasure to provide a little color with respect to the numbers Erik shared with you. Addressing revenues, we were pleased with the $597 million we achieved for the first quarter, nearly $2 million, above the top end of our guidance with the outperformance, drive principally from incremental membership dues and dynamic personal training. Adjusted EBITDA of $146 million was at top end of our guidance, and we achieved a 24.5% adjusted EBITDA margin for the quarter. As pleased as we are at our progress here, we're going to reiterate our previously issued adjusted EBITDA margin expectation of 23.5% to 24.5% for this year.
 Consistent with absolutely normal predictable seasonality, a portion of their revenue gain we anticipate for the middle of every year will be from summer activities, which generate incremental EBITDA, but at lower margins. Even more gratifying Access membership at the end of Q1 2024 were $802,000, which is substantially above our expectation. This overperformance has been a direct result of the strategic initiatives we have previously discussed with you, which include pickleball, ARORA and a small group training and the improved member retention we're currently experiencing, which is the best we have ever seen. 
 Additionally, we believe we have some membership pull forward into the first quarter from the second quarter as some people joined earlier in anticipation of the full season. Average dues were 186 a month, in line with our expectations. Based on the positive trends we're seeing in our business, we're raising our revenue and adjusted EBITDA guidance modestly. Our full year's revenue guidance is now $2.5 billion to $2.53 billion, and our adjusted EBITDA guidance is $603 million to $618 million. Our priorities for this year remain growing revenue and adjusted EBITDA per our guidance; second, delivering positive free cash flow. We're on track to achieving this objective during the second quarter, and we expect to remain free cash flow positive going forward. Finally, reducing our net debt leverage ratio to under 3x sooner than later and certainly before end of the year. Lastly, I want to personally thank each and every Life Time team member for your relentless commitment to delivering the ultimate experience from the member point of view, which drives the amazing financial results we're enjoying today. Thank you. 
Operator: [Operator Instructions]. Our first question is from John Heinbockel with Guggenheim Partners. 
John Heinbockel: Bahram, I wanted to start with engagement, right? Because I know you've given that metric and that continues to improve. I think it was $135 a year less we heard. So what does continue to happen with engagement? You mentioned dynamic personal training. How do you guys think about wallet share within center revenue and the opportunity there? Because obviously, your members have a pretty big wallet. 
Bahram Akradi: From a personal training standpoint, our dynamic personal training really has been some initiative we launched almost 2 years ago have been working on that brand. And we really have amazing success with it right now. We have almost double the number of personal trainers applying each month as they did a year ago. The momentum is strong. The execution is the best I've seen. The casting is great. And we are really extremely pleased with what my team is delivering right now. We are seeing continued growth and engagement in the personal training, the connectivity between the members and personal training is improving.
 And so that was the most important piece of our in-center as we've talked about before, the kids programming has been great. summer camps have been great spa and Cafe have been the focus for this year to improve, and we have tons of opportunity there, and we're seeing really the initial baby steps in improvement in those as well. So at this point, John, we just really have a very, very optimistic view of how all these programs are coming from an engagement standpoint, we're seeing the most engaged customer that we have ever had in the history of the company, which directly resulting in the best retention that we are seeing and it's continuing to trend better than our own expectation, which is pretty awesome. 
John Heinbockel: Great. Maybe as a follow-up, right, without stealing thunder from your Analyst Day, but I know you recently, I think, introduced this concept, right, of large-format equivalent clubs and how you want to think about the pipeline. So just maybe at a high level, how do you think about that? And obviously, you can mix and match right urban residential and office buildings and you have a lot of optionality. But how do you think that plays out over the next 2 or 3 years? 
Bahram Akradi: Yes. That's a great question again, John. At the end of the call today, we're going to talk about our Investor Day that we're planning and give you full details of that for May 30. Our goal is to flush out the description. But in a nutshell, we as we've stated before, have the same expectation on the levered rate of return out of any type of facility we do, which is roughly between 30%, 35% levered return on our invested capital, net invested capital, whether if it's upfront investment coming from landlords or building owners, et cetera, or it's at the end with a sale-leaseback conversion. The net invested capital that we're looking for is always between 30% and 35%. And what we're going to do on that day is demonstrate to everybody with a variety of examples. All of these are the same.
 So then to eliminate the confusion for the investors, our target is between 8 and 12 LFEs in a given year and really averaging about 10 per year. Now a lot of these things, as you know, they have very long gestation time. So sometimes you may have a year that comes in on that lower end 8%. That means a couple of those clubs we should have opened that year, I would have some delays in it. So the following year, we should do 12. So for modeling purposes, what we're going to guide everybody to is to about 10 LFEs per year. And the remainder of what it takes to deliver a double-digit 10% plus revenue and EBITDA growth. This is not for this year, obviously, based on what we have just guided to is much higher than that. But for '25 and beyond to get to the 10% revenue and EBITDA growth, we will then need to have about 4% to 5% of that come from the same store, and the rest of it needs to come from additional LFE expansions and other initiatives that we have in place. And we feel really, really great about our strategy, outlook and the execution of our team. 
Erik Weaver: John, this is Erik. I can just add to that. I think another key benefit of the various formats here is our total addressable market is substantially bigger. And I think that's one thing that's very important as we continue to think about our growth. 
Operator: Our next question is from Megan Alexander with Morgan Stanley. 
Megan Christine Alexander: Just wanted to follow up. Bahram, you alluded to it a bit in terms of the updated guide and taking it up by more than the 1Q beat. You talked a little bit about it driven by current trends. You also talked about some pull forward in membership into 1Q. So maybe can you just give us a bit more color on what's exactly changing in the outlook? Is it that you're getting some of these pool members a bit earlier, which tend to have a higher dues number given the pool activation fee and you're just getting more revenue out of them over the season? Or maybe just help us tie those comments together in terms of what's changing in the outlook. 
Bahram Akradi: Yes. That's great. So the most important thing, Megan, is retention. We keep going back and emphasizing to everyone is the high-end leisure business that is based on subscription. The most important factor, the most important KPI is retention. And we are trending to roughly 10% better retention than we have had ever in the history of the company. And that alone allows to see that our forecast for our does is basically significantly higher than 3 months ago at this point. And therefore, our forecast is just purely based on facts our guidance is purely based on our forecast. And the forecast just easily suggest we should be able to deliver the numbers we just guided to, both on top line and bottom line. 
Megan Christine Alexander: Okay. That's helpful. And then again, you alluded to this a bit. I wanted to talk a little bit more just about the EBITDA margin. Center OpEx was a bit higher than what the Street was looking for and you didn't take the guide up as much on the EBITDA line, so maybe not getting the leverage on sales. It seems it's driven by where that upside is coming from. But I guess, just bigger picture, what are you seeing in the cost of the club? And how are those trending? And is there some gating factor to getting EBITDA margins above 24.5%. Is this the right level for the business? How should we think about that a bit longer term in terms of you letting that EBITDA margin kind of drift higher over time? 
Bahram Akradi: Yes. Let's go through this. We are extremely happy with a 23.5% to 24.5% EBITDA margin. Our focus is always to deliver the best member experience and a long, long-lasting enduring business. So what I'm really proud of is the work that my team has done here. We reinvented this business over the last 4 or 5 years with a clear vision that the business is not going to be going forward, the same as it was before all the decisions that was made during the last 4 or 5 years. We anticipated higher cost. We anticipated higher interest rates. We anticipated way more wages and much, much higher construction cost development cost. Therefore, we made the proper adjustments. We made all the necessary adjustments, the EBITDA plus rent margin is now roughly 5% higher than it was at our banner year of 2019. Therefore, we have all the latitude, all this space to pay a little higher cap rate for our sale leasebacks and get those deals done.
 We have the ability to cover all the increased payroll, so we can continue to hire the best talent and pay them what we need to pay them to keep them in the clubs. And the new business model, the whole model inclusive of all these increased costs are superior to the model we had in 2019 and before. So all of it has been anticipated. There is no surprise, and we are super happy. Is there a chance that the EBITDA margin could be more than 24.5% Yes. Do we want to guide you guys to that right now? Absolutely not. So we're just giving you the 23.5% to 24.5% firmly and making sure that we can deliver our objectives and our promises through that range. 
Operator: Our next question is from Brian Nagel with Oppenheimer & Company. 
Brian Nagel: First and foremost, congrats on another nice quarter. Nice one. Bahram, the first question I have, we talked a lot about driving the business towards free cash flow, positive free cash flow. You reiterated that today. The ratios are coming down. Maybe you could talk or any color you can give us on how you plan to, or your plans to address the debt on your balance sheet that comes to in early 2026? 
Bahram Akradi: As you would anticipate better than anybody, Brian, we're always months and months and months ahead. We're working on those things right now. We do have all sorts of things planned out. Our expectation is that debt will get done sooner than later with much better interest rates for our next year. And we have had the most massive club opening in the first half of the year instead of spread out or the back half like I've seen some years this year. So we just opened 3 or 4 amazing successful clubs, beating our expectations, beating our records in every case, but we spent a lot of money to get those opened up. But as we go to the second quarter, you're going to see at the end of the second quarter, there is a shift where we delivered free cash flow positive this quarter. That's after all growth capital. We start seeing the debt-to-EBITDA adjusted EBITDA coming down pretty nicely from this quarter forward. And so we are absolutely thrilled we are exactly on our plan or better in every case. 
Brian Nagel: That's very helpful. I appreciate that. And then my follow-up question bigger picture. Again, we're looking at the results, your comments, the businesses to be performing extraordinarily well. The question I'll ask, I mean just given market concerns of consumer, economic, et cetera. I mean as you look across the business, in particular on the membership side, are you seeing anything at all anywhere to suggest a more cautious member within your model? 
Bahram Akradi: That's a fantastic question, Brian. I'm glad you're asking it. And I'm thrilled to answer it. Every single month, we're seeing a record month on our personal training over the month before. We're seeing record retention over it before. We are getting more clubs, as I told you guys on the last call going on a wait list. It's only simply a function of making sure we still deliver member point of view and that sort of the highest quality leisure companies that you can possibly expect in terms of service level. So people want to learn about Life Time, they get the most amazing reception. Yet we do have to hold the memberships back a little bit to deliver the experience we want. We want to handle that correctly.
 So the only thing we're taking is time to train our leadership in every club when they're ready to put their clubs on a wait list for putting more clubs on a waitlist. So honestly, we have more demand than we are concerned about. Well, I have personally expected to see some weakness for the last 18 months, and I have been wrong. I have been wrong and wrong and wrong and kept thinking this customer is going to get tired, they're going to get tired. We are not seeing anything. In fact, the only trend we see, yes, I emphasized this before, Ryan, you know it. The most important key KPI is the retention, and we are seeing the best retention we've ever seen. 
Brian Nagel: Very helpful, Bahram. Congrats and best of luck for the balance of year. 
Bahram Akradi: Thank you so much. 
Operator: Our next question is from Alex Perry with Bank of America. 
Alexander Perry: Congrats on a strong quarter. I guess just for Bahram, maybe following up on your last point, can you give us an update on how many of your clubs are on a wait list. And are you considering raising prices where demand continues to exceed supply, like what's sort of the pricing outlook that we should be embedding for this year? 
Bahram Akradi: Two great questions, Alex. Great to hear from you. The one thing I want to make sure we don't create a pattern for is creating a metric around how many clubs on a wait list. So there just becomes one more thing that people get focused on. It's just what we want to insinuate to you guys is that we're getting more clubs getting to that point where to manage the experience for the customers who are already in, we have to be thoughtful about not having a free for all for people dropping in, right? So the wait list is allowing us to sort of gauge the inflow of the new members in the busy clubs. And all I can tell you right now is we literally are getting as many clubs on a wait list as we can have our team and our processes properly in place to execute that with a high execution level. So I don't want to create a metric, but I can tell you by end of this month, will be nearly 3, 4 x how many clubs are on the waitlist just at the end of January. But it's really a function of us being able to roll it out without creating an attitude that we're too good or anything like that for the customer who loves Lifetime's brand. 
Alexander Perry: That's really helpful. And then my follow-up question was you made a comment in your prepared remarks about a bit of a pull forward into 1Q on center memberships. Maybe just help us think about how we should be thinking about the second quarter on any sort of key KPIs, I guess, on sort of memberships specifically? And what do you think is sort of driving that pull forward? Is it due to people being worried about getting into the club during pool season because of the wait list? 
Bahram Akradi: Yes. I think is a function of that and the fact that we normally have a summer pool past sort of the implementation in the busier clubs, we charge a fee to get the people into sort of discourage the people who joined just for those 3, 4 months. which we have happening every year. So you guys know we have a big sign up May and June, and then we have a big drop out September and October, which we really don't like. So we're always trying to figure out a way to discourage that behavior without making the customer feeling alienated. So in the past, we have introduced this sort of starting from April, we layer in some fees for the pool.
 And then it just accelerates into May, June, those fees goes up higher. And some people who have the pattern, they know they want to join for the summer, they're smart enough to join end of March and not avoid paying any of those fees, but they're paying an extra month to do. So at the end of the day, it all works out. I just want to caution the analysts and investors on the fact that our overperformance on membership, I just didn't want people to just take that and multiply it for every quarter going forward and get ahead of our guidance on the revenue and EBITDA. And then again, you have a choice of doing what you want to do, and we're just trying to make sure we give you guys the best information and the best guidance possible. 
Operator: Our next question is from Simeon Siegel with BMO Capital Markets. 
Simeon Siegel: I was hoping to follow up on that a little bit, actually because I mean it's interesting. So one, is it new this idea of people are signing up earlier to avoid these fees? And maybe does that help smooth out seasonality a little bit? Does it give you a little bit more predictability if you are now bringing those people in earlier and keeping them for longer? Or is it normal and there just were more people that did it. So maybe any context around that? Any way to quantify how many pulled forward earlier and whether this is going to be just a new dynamic and it's moved the seasonality? 
Bahram Akradi: Yes. I think if you take the number above the number that was consensus about 795, that's about 7,000. I would say it's about half and half. About half of it was extra pull forward and the other half was basically better retention, et cetera. So we're cautious on all of this, Simeon, because really we're balancing on what the Street may want, but more so on what our customer reaction is to our company and our team member, and I just can't emphasize how pleased I am with the overall field and the health of the business. The clubs are busy. The members are happy, team members are in a great place. We're getting more and more amazing qualified people come in, wanting to be a part of the lifetime. So I just really don't see any negative trends. At the same time, we just want to make sure we deliver a balanced tone in terms of not getting ahead of ourselves in terms of anything. That's it. 
Simeon Siegel: Okay. Yes, that makes sense. I guess my point or my question was, have you found a way to stretch those summer members into another month or so because again, avoid the fees, but have them there longer? 
Bahram Akradi: That's exactly what you're once again 100% correct. That's what's happening. They're just basically our strategies are basically to have the longest term member. And we prefer not to have people drop in, drop out. It's more of a country club and a mindset. And we weren't able to do this, Simeon, when prior to 2020 because we were doing so much promotions. So we almost invited people for this behavior. And now it's finally taking hold after a couple of years, really, it's about 2 years now since we were officially allowed to run our business without any restrictions across the North America. And now we're seeing things have kind of balanced out. But the beauty of it is that we are delivering a much, much more higher-end leisure outside the country club business than we were doing in 2019, and the results are speaking for themselves. 
Simeon Siegel: Okay. That's great. And then just last one. You spoke to this in different ways, but just maybe understanding that some of the growth in the center OpEx expenses is tied to the ramping centers. Is there any way to just help maybe simplify what you think the underlying change in existing center of expenses would be if we were to strip out the new? 
Bahram Akradi: Yes. So look, at all times, if anybody tells you they're running everything perfectly, I would have to believe they're lying because I would be lying if I told you everything is running perfectly. There's always opportunities to improve. We have had a bit of a cost creep that has been already corrected. Number one. Number two, there is some that is unavoidable, but it was all planned in our strategy to change our business model. So just wages alone are 4%, 5% higher on the wage side. And then we have more increased swipes and then our hourly wages that go to service those swipes correctly are also up higher. So the club we're spending no money on sales and marketing -- and we are spending a lot more money teaching classes that provides the best engagement in our clubs. So I don't know how else to explain this. I think the overall, we expected the cost to go up. That's why we guided to what we guided, we expected the cost to be up higher.
 We expect that our revenues will be higher. We expected our engagement be higher, and we expected our retention to be better. So all of these things are coming right in line with our expectation, slightly better or rise in line with our expectations. Wages aren't going to go back down, Simeon. Anybody sitting there thinking, wages are going to go down, I don't know what they're thinking. The rates are going to go up. They're going to keep going up. And in order to employ happy team members who can afford to pay their bills, you got to pay them enough to have the best employees in your company. So that's just something everybody needs to plan for and then you need to see if you have the ability to deliver the revenues to deliver your margins, and we've been able to do that. So I'm grateful that the team has been able to execute such a great plan. 
Operator: Our next question is from Chris Woronka with Deutsche Bank. 
Chris Woronka: Very nice quarter. The first question is really about -- is, Bahram, you've talked about outperforming all your expectations and it's kind of existing clubs, new clubs. Does that change the economics of when you look at new centers, whether it's conversion or ground up? I mean does it basically enable you to kind of raise the underwriting budgets on stuff you look at and maybe things fall into a bucket of penciling out better than they did a couple of quarters ago. Is there any of that to think about? 
Bahram Akradi: Everything is in line. Let me emphasize this. our clubs are costing significantly more on any measure. Real estate costs more interest rates are higher. Construction is significantly higher. Payroll is higher and our revenues are higher. So when we look at the business plan, which we approved with those targeted net invested capital returns, which I told you, 30%, 35%. What we consistently see when we come back 3 years, 4 years later and look at that class of clubs and see how did they perform the business plan. It's the same pattern. We have spent more, and we have delivered more, and the rate of return has remained constant. Where we are seeing right now is our new clubs opening the last year, 1.5 years and now opening today. They will have a higher revenue per square foot that also cost more to build, but they also have more revenue per square foot, more margin than the old facilities because of the legacy memberships that they're inside of those memberships in those clubs, older clubs, that will take time. 
 You give it 5 to 10 years, my expectation is that legacy clubs will catch up with the new clubs. It's going to take a long time because we've told you we're going to raise those dues extremely methodically and slowly, so the customer remains loyal to Life Time. The beauty of that from a modeling standpoint is that again, we've been consistent about this, a 4%, 4.5% same-store for years to come is really a function of the fact that 14 clubs have the ability to keep going up to catch up with the revenues and the margins of the new clubs. So it's really all working for us. We're thrilled about what this outlook looks like for 24, 25, 26, 27. And again, I am just so thrilled with the fact that we made all the adjustments that we made because our business model today is enduring all those things I mentioned to you. Higher interest rates, more wages and more construction costs, more supply costs. Our business model is paying for all of those and Denso. So I just can't be more grateful to see where we're at right now. 
Chris Woronka: Yes. Very helpful a great perspective. And just a follow-up and then that kind of goes back to the sale-leaseback outlook and understanding that there's the general view that rates maybe stay higher for longer. But we've also heard the largest player in private credit say, "Hey, they're not waiting for rates to come down, you're going to invest now. Do you guys sense any change in your potential buyers and wanting to kind of move forward on looking at some SLBs? 
Bahram Akradi: Yes. So we are in under LOIs at this point and some deals, we will announce them when it's appropriate when we have full commitment on some deals. Ultimately, what I have said repeatedly, consistently, these deals are 25-year 20-, 25-year leases with another 30 years of options with fixed bump in dose. So the way you look at our rent is based on GAAP rent. The number we give you is a GAAP rent. When you look at the GAAP rent is a straight lining all of that. When you look at the difference between what the rates would have been a couple of years, 2, 3 years ago and what they will be now, on a GAAP basis, they may be up 50 basis points. We are generating so much more margin at the club level that is almost nonevent. We can endure that extra 50 basis point extra on a GAAP basis. and it won't change the outcome. And the business will produce the margins that we are committing to you guys going forward. So we are in a really, really good place and looking forward to see what we can demonstrate over the next several months. 
Operator: Our next question is from Owen Rickert with Northland Securities. 
Owen Rickert: Bahram, congrats on the great quarter. Just quickly, what's the current market value of your unencumbered facilities and assets? And how many of these could be subject to a sale-leaseback if needed or desired. 
Bahram Akradi: Yes. This was a brilliant question. So we have probably $3.5 billion today, market. If I took our assets and try to sold them for replacement cost, it would be probably $3.5 billion. To be realistic, about $2.5 billion from one reason or the other, it's almost punitive to make a sale leaseback, but roughly $1 billion of it, that's what we could get into some sort of the formula that would actually work. And that would be some sale leasebacks of the older clubs, which we would have substantial tax gain with some sale leaseback of new clubs where we keep $20 million to $25 million of our cost, right, for to build that facility as the net invested capital. But if we sell them early on before we have depreciated them, then that $20 million, $25 million can show up as a loss to offset the tax gains is under older assets.
 So this is a unique opportunity over the next couple of years where we can mix old and new throughout the year on sale leasebacks to sort of mute out the impact of the gains or losses from a sale leaseback. And because I really want the market to see the natural potential growth of this company. And so that also we don't have any tax leakage. So we're still enjoying some loss carryover from the COVID period. And we forecast such an increased amount of EBITDA and net income growth that we want to make sure we protect as much of it as we can. So we want to use those loss carryovers, not for sale of older assets. We want to use that to offset and maintain our cash flow to pay for our growth.
 So balancing all those things, to answer your question, I think out of the $3.5 billion, I think we could do in the right environment as much as $1 billion. I'm not telling you we're going to do $1 billion. I want to be clear. Well, you're asking, and I'm giving you pure answer. We could do as much as $1 billion of it, but we have to mix and match it. I emphasize, emphasize we're not saying we will do that much. We won't do that much. There is no comment on that. I'm just purely answering your question that about $2.5 billion of the $3.5 billion is almost like punitive and the rest of it, we could find a path for it. 
Owen Rickert: That was very helpful. And then secondly, in terms of the recent April club launches, are there any early performance metrics to call out? Or how well have these launches gone in the first few weeks? 
Bahram Akradi: Yes. So far, what we have is record-breaking numbers. That's all I can tell you. We have been club after club, we've seen record-breaking numbers, and these clubs are achieving contribution margin positive much faster than I've seen in the history of the company. So we're absolutely thrilled with what we're seeing in those results. 
Operator: Our next question is from Dan Politzer with Wells Fargo. 
Michael Samuel Hirsh: This is Michael Hirsh on for Dan today. Could you talk about CapEx going forward this year? And if anything has changed from last quarter's commentary? And maybe how we should think about growth versus maintenance going forward? 
Erik Weaver: Yes, this is Erik. I can take that one. No, relative to last quarter, nothing's really changed there. CapEx, especially our growth CapEx is coming in at where we expect. For us, we're kind of looking at maintenance CapEx at roughly $10 per square foot. And so that's kind of how we're modeling out. 
Bahram Akradi: And the way we're looking at that maintenance CapEx, to be clear, so you look at the last year's square footage at the end of the year, about 1 billion about 17 million square feet. The applied for modeling purposes, we apply $10 a foot. That's about $170 million. Now the way that $170 million is broken down to, I would say, it's about half and half. About half of it, $5 a bit, would be what it would require to spend to maintain your current EBITDA, maybe plus 2% or 3%, just to sort of cover the inflation on that EBITDA. And the other $5 we spend in the clubs is for remodernization reinvention and technology of basically investments, which we expect to get additional return from on top of that. But to make it easy for people to model, you could just take the last year's deployed square footage apply $10 to that.
 So this year, would say, okay, $170 million to $175 million. And then we will take the remainder of it if we do equivalents of 10 LFEs after net after a sale leaseback or all of that, net investment of, call it, $25 million a piece is $250 million you added up, we're generating enough free cash flow from our business to actually execute that. And that's the way we are looking to go forward, be able to continue to deliver the 10 other fees per year and free cash flow positive. 
Operator: Our next question is from John Baumgartner with Mizuho Securities. 
John Baumgartner: Bahram, I'd like to ask about the MIORA program. I recognize it's early days, but I'm curious as to any initial takeaways you have at this point as the program rolls out. And I think our bigger picture, do you see anything that would suggest an opportunity to bridge MIORA with ARORA and maybe enhance the offerings for active adults as an incremental source of in-center revenue. I think especially when you're talking about sleep or joint health and maybe even the opportunity to gain some traction with the Medicare Plus or other insurers for preventative health where it's a win-win. Just curious how broad you think about concierge-type service across your member base. 
Bahram Akradi: So to your first part of your question, we committed that we're not going to try to have numbers associated with MIORA to deliver the business model that we want, and we're working on that. We're very pleased with the demand that we see for that, and we are working on testing more doctors and physician assistants to be able to handle the traffic that is coming our way. So I would consider that business, one, that we will develop to a successful model and roll out. Will you see a number that would be material impact this year? The answer is no. Will it have the opportunity to start having a small impact in '25 and then growing to the '26, '27? Absolutely. Is there a crossover between the ARORA customer and the MIORA? Yes, but it's not the bulk of it.
 The bulk of the MIORA customer is the person who is going to look for vanity. They want to look they want to look great. They want to have vibrant enthusiasm towards things they want to do in life. And so they're looking for ways to enhance look or performance, right? And the science is going to allow people to do this, and our approach is to caution people to make sure they will only engage on those things that have been scientifically proven to be safe and effective and not just jump on every sort of a snake oil cell pitch that is taking place.
 Unfortunately, with these things, when they get going and there is some good, some truth to some of these things. There is also a significant amount of hype and misuse of that information. And we are always going to do the right thing by the customer. And I just don't want to guide the financial community to trying to get numbers put into this. It's not necessary. Our growth is pretty fantastic without it. And when we rolled out MIORA on a national level, they'll just add to the something that's all really good. 
Operator: There are no further questions at this time. I'd like to hand the floor back over to Bahram Akradi, founder and CEO, for any closing comments. 
Bahram Akradi: Well, thank you, and thanks again for joining us this morning. We're off to a great start to what should be a milestone year for us. In an effort to share insight into our company, plans and strategy, we are excited to be hosting an Investor and Analyst Day on May 30 here in Twin Cities. We have a comprehensive agenda that will include the key milestones in our history that have led us to making us who we are today as well as tackling many of the key investor topics that we feel are not fully understood by the investor community. Most importantly, we have a number of opportunities that we want to talk about for investors to hear from and react with our deep management bench, institutional investors should reach out to our Investor Relations team for more information. The contact information is on the press release issued this morning as well as our IR website. With that, have a great rest of the day. Thank you. 
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.